Operator: Good morning, ladies and gentlemen. Welcome to the Masco Corporation First Quarter 2012 Conference Call. My name is Christie, and I will be your operator for today's call. As a reminder, today's conference is being recorded for replay purposes [Operator Instructions]. I will now turn the call over to the Vice President of Investor Relations, Maria Duey. Maria, you may begin.
Maria Duey: Thank you, Christie, and good morning to everyone. Welcome to Masco Corporation's First Quarter 2012 Earnings Conference Call. Joining me on our call today are Tim Wadhams, President and CEO of Masco; and John Sznewajs, Masco's Vice President, Treasurer and Chief Financial Officer. Our first quarter earnings release and the presentation slides that we will refer to during the call are available on the Investor Relations portion of our website. You will note that we have changed the format of our presentation and analyst package as we continue to work on improving our communication with the investment community. Following our prepared remarks, the call will be open for analyst questions. [Operator Instructions] If we are unable to take your question during the call, please feel free to call me directly at (313) 792-5500. If you'd refer to Slide 2 in the presentation, I'd like to remind you that today's presentation includes our views about Masco's future performance, which constitute forward-looking statements. These statements are subject to risks and uncertainties that could cause our actual results to differ materially from the forward-looking statements. We've described these risks and uncertainties in our risk factors in our Form 10-K that we filed with the Securities and Exchange Commission. Today's presentation also includes non-GAAP financial measures. We’ve provided a reconciliation of these measurements on our website at www.masco.com. With that, I'll now turn the call over to our President and Chief Executive Officer, Tim Wadhams. Tim?
Timothy Wadhams: Thank you, Maria, and thank all of you for joining us today. And if you would please flip to Slide #4. We're pleased with our first quarter results. Housing dynamics improved, helped a little bit by weather, but for us, a solid quarter. Top line was up 7%. We had very strong performance in our Decorative Architectural segment, where we have our paints and stains and builders' hardware. Our Installation segment was also strong in the quarter, and we had pretty good topside in terms of our Plumbing-related businesses, impacted a little bit by foreign currency. Sales to key retailers were also strong, and you'll hear more about that as we work our way through the presentation. Another area that was certainly pleasing to us were our margins in the quarter, which were the highest for any first quarter since 2008's first quarter. On an adjusted basis, our operating incremental margin was 44%, which is particularly pleasing, reflecting our operating leverage, the fact that we had price/commodity relationships positive in the quarter and also reflecting our ongoing focus on total cost and productivity. Earnings per share were a positive $0.05 on an adjusted basis again, and that compares to a loss last year of $0.04. So we had a nice swing in terms of EPS, and we'll get into the details as we work our way through the segments during the presentation but off to a good start in 2012. In addition to our financial results, we also made a lot of progress on the strategic initiatives that we're pursuing. And if you would flip to Slide #5, these are the strategic initiatives that we communicated earlier this year that we're focusing on to drive improved performance and position us to outperform the housing recovery. Those strategies include extending our market leadership by leveraging our brands with innovative new products, cost reduction, improving our underperforming businesses and strengthening our balance sheet. And if you would please flip to Slide #6, we'll talk a little bit about how we performed against those strategies in the first quarter. We feel like we continue to enhance our industry-leading brands and market position across our product groups. We continue to win international project opportunities in Plumbing, and our late fourth quarter 2011 acquisition of a bolt-on entry-level price point spa business has broaden our hot tub offerings and is going very well. Our Installation business, I mentioned earlier, was up significantly in the quarter, and a couple of the adjacent channels that we've been cultivating over the course of the last couple of years had very strong performance. That would include retrofit and commercial. We continue to expand our window offerings in the Western U.S., successfully into Canada -- Western Canada, excuse me, as well as Texas. And our new Behr paint product offerings that we talked about at the end of the fourth quarter have been launched very successfully at Home Depot, and our Pro paint business continues to do well. Our focus on total cost and productivity generated over $40 million of gross profit improvements in the quarter, and we're well on our way to the $150 million that we mentioned in the first quarter -- or the fourth quarter earnings call for 2011. And again, that's a gross number, the $150 million. During our fourth quarter 2011 earnings call, we talked about some of the -- in detail about some of our plans to improve our Installation and Cabinet segments. And we had very good performance, we believe, in the first quarter. In aggregate, we reduced losses by over $25 million and certainly believe that we're well on our way and feel confident about the targets that we set in the fourth quarter earnings call. We'll do a more in-depth update on those 2 segments as we get into and through the second quarter in July. But certainly, we feel like we're on track to deliver what we talked about back in the fourth quarter call. And in terms of our balance sheet, we successfully issued some debt during the quarter. We've got $750 million of maturity due in July of this year. John will talk about that as he works his way through some of the detail here. And we ended the quarter with $1.8 billion of cash. And at this point, if you'd flip to Slide #7, we'll turn the call over to John Sznewajs, our CFO, who will talk a little bit about some of our financial and operational detail.
John G. Sznewajs: Thanks, Tim, and good morning, everyone. I guess I'd ask you to flip to Slide 8. As Tim mentioned, we delivered improved results in the first quarter. Revenue grew 7% due to increased demand across our key channels, particularly our retail channel, where sales to key retailers were up high single digits and, excluding product exits, were up low double digits. International sales were up 1% in the quarter and 5% in local currencies. Adjusted gross margins expanded to 26.5% as a result of increased volume, profit improvements and price increases. We did a better job of leveraging our SG&A in the quarter as adjusted SG&A as a percent of sales dropped 180 basis points to 20.5%. We're also very pleased with the bottom line performance as adjusted operating income increased 93% in the quarter to $112 million with an adjusted operating margin of 6%. Our company-wide incremental margin was 44% in the quarter, reflecting strong operating leverage in the business. And our adjusted EPS improved $0.09 in the quarter from a loss of $0.04 last year to $0.05 positive in Q1 2012. Turning to Slide 9. We see the components of our operating income improvement in the first quarter. The $18 million product -- improvement in net volume/mix was principally being driven by our increased volume in our Installation, Plumbing and Decorative Architecture segments, partially offset by the negative mix of approximately $14 million in our Plumbing segment, which largely relates to Hansgrohe as they continue to penetrate new markets. Net price/commodity improved $22 million in the quarter, largely driven by our Plumbing segment and reflects the benefit of our metals hedge, which was approximately $7 million positive in the quarter. While we anticipate raw material cost escalations in our Decorative Architectural segment, we continue to believe that we can, at a minimum, neutralize commodity costs companywide in 2012. The profit improvements of $14 million were principally driven by our 2 most challenged segments, Cabinets and Installation, as those management teams continued to drive productivity and cost improvements into their businesses. As an example, enterprise-wide headcount is down approximately 4% in the first quarter of -- compared to the first quarter of 2011. Turning to Slide 10. You can see our Plumbing segment grew 5% in the quarter, driven by international project growth and increased share in both the retail and wholesale channels in North America, with our wholesale channel sales up low double digits. Several of our most important North American faucet brands, Delta, Peerless and Brizo, saw sales grow high single digits as they continue to gain share through new product launches. Sales were negatively impacted by $14 million, reducing segment sales by 2% due to foreign currency translation. And although our European outlook remains challenging, European sales in the segment were up 5% in local currency for the quarter due to international project growth. Our Plumbing segment enjoyed 160 basis points of margin expansion in the quarter, driven principally by a favorable price/commodity relationship of approximately $20 million, which includes the $7 million benefit from our metals hedge. I should mention that our European Plumbing operations accounted for the majority of the favorable price/commodity relationship in the quarter. Margins in this segment were also negatively impacted by mix in the quarter of approximately $14 million, again principally from our Hansgrohe unit, as I mentioned earlier. Turning to Slide 11. You can see that the revenue in our Decorative Architectural segment grew an impressive 16% in the quarter, driven by a Behr's strong DIY paint sales, continued growth with a Pro paint contractor and price increases, the implementation of which was completed in early Q2. Paint volume was up mid-single digits in the quarter. The growth of Behr's DIY paint sales occurred amidst a competitive retail environment and was aided by favorable weather in the quarter and new product introductions. We also saw nice revenue gains from our builders' hardware business in the quarter as their results improved following a tough 2011. The Behr product introductions we outlined in our fourth quarter call, the new and improved formations for both Behr Premium Plus and #1-rated Behr Premium Plus Ultra Interior, the 0-VOC colors and the new merchandising for our exterior wood products are in all stores, as planned, and are performing very well at retail. Our outreach to the professional paint contractors continues to grow. We saw increased growth in our Behr Pro program, which we continue to invest in heavily. Sequential operating margin improvement was the result of increased volume, the timing of price increases and profit improvement initiatives. It was also aided by the performance of our builders' hardware business. This was partially offset by increased growth initiatives spend for both international expansion in our Pro growth and loading costs for the new programs. The price/commodity relationship was neutral for the quarter. This said, we continue to expect further raw material pressures, especially in TiO2 and resins in 2012. So please turn to Slide 12. While the environment for cabinetry remains challenging as our segment sales were down 3%, we had some positive developments in the segment during the quarter. If we exclude the sales related to the planned exit of our RTA products of $9 million and exclude the $3 million negative impact of foreign currency translation, Cabinet segment sales were up 1% in the quarter. Breaking down the sales in a little bit more detail, we experienced solid growth with our countertop sales at both retail and with the big builders, and our direct to builder sales were up mid-teens percent. We're the clear market share leader in the builder channel and are well positioned to benefit from our relationships with many of the big builders, including DR Horton, Lennar and Pulte. We're also beginning to see success from our multifamily initiatives. This growth was primarily offset by a decline in dealer channel sales and was driven by our decision to pull back on our promotional activity. Competitive promotional activity remains elevated in both the dealer and home center channels, and we've responded with disciplined promotions to meet these competitive situations. As we anticipated, we improved the -- our operating loss in the quarter by $9 million. Much of this improvement was driven by the benefits from our prior profit improvement initiatives. So at this time, we still believe we're on track to realize the $40 million of profit improvement that we outlined on our fourth quarter call. Flip to Slide 13, please. Looking at our Installation segment, we are very pleased with the performance of this segment in the first quarter. Segment sales grew 18% and were fueled by higher volumes and share gains across all 4 lines of business: residential new construction, retrofit, commercial and distribution. Sales were negatively impacted due to the closure of previously announced underperforming branch locations and a mix shift to multifamily starts. Our efforts over the last year to increase our participation in the multifamily segment have proved very successful, and our Installation businesses is now nicely positioned to take advantage of future growth opportunities within both the single-family and multifamily channels. We continue to focus on increasing our Installation sales with the largest homebuilders, and we are well positioned to grow this business with the big builders. In addition to strong top line performance, management's strong execution delivered solid bottom line results, with operating profit improving by nearly 60% and operating margins expanding by 900 basis points. This operating profit improvement was largely due to increased volume and strong cost productivity. We expect this trend to continue throughout the year, and we believe we are on track to deliver at a minimum of $30 million of operating profit improvement that we detailed for you on our February call. On Slide 14, you can see our Other Specialty Products segment sales declined by 2% in the quarter. We experienced share gains in the U.K. new home construction market and at Milgard in the Western U.S. We also saw increased sales of staple guns at retail in the quarter. These sales gains were offset due to the exit of select Eastern U.S. window markets in late last year. Excluding these market exits, segment sales would have been up 2%. Operating margins improved by 390 basis points or more than 50% due to the profit improvements resulting from the rationalization activities undertaken in the third and fourth quarters of last year, also improved price/commodity relationships, including a decline in rebate activity, partially offset by inflation. Turn to Slide 15, please. As we announced in the first quarter, we issued $400 million of 10-year notes with an interest rate of just below 6%. These notes were issued to prefund a portion of our July 2012 maturity of $745 million, and we intend to pay down the balance of this maturity with cash from the balance sheet. During the course of the quarter, we repurchased $46 million on the July 2012 maturity. We had interest rate swaps outstanding in anticipation of this debt issuance, and the termination of these swaps increased the effective interest rate on the debt to approximately 6.5%. The negative interest carry is approximately $0.02 per share for the full year of 2012. We improved working capital as a percent of sales in the quarter, defined as AR plus inventory less payables, from 15.5% to 14.7%. This is great work from everyone in operations on that metric. Finally, we finished the quarter with $1.8 billion of cash in the balance sheet, which includes $400 million from the debt -- the March debt issuance. I will now turn the call back over to Tim to discuss our outlook.
Timothy Wadhams: Thank you, John. And if you would please flip to Slide #17. These are the priorities that we identified earlier this year in support of our strategies. And we won't go through -- we've talked about almost all of these as we've worked our way through the presentation, so I won't take a lot of time here, but we feel like we made significant progress in terms of accomplishing our objectives against these priorities in the first quarter. And as John mentioned, I'd like to thank our employees across the enterprise. Not only did we have a good quarter from a financial perspective, we also had a solid quarter in terms of the initiatives that are important to us from a strategic standpoint and, certainly, against the priorities that we've identified. And we'll continue to update the investment community against these priorities as we work our way through the rest of the year. If you’d please flip to Slide #18, a couple of comments before we go to the Q&A session. There still are some challenges out there. There's no question about that, some challenges and uncertainties as we look out into the rest of 2012. European economies, big ticket remodel activity, commodities, mix, lack of job growth are all issues that are certainly on the radar screen. But having said that, we're encouraged. We're encouraged from a couple of perspectives. One, that housing dynamics, as we mentioned earlier, have continued to improve. The blue chip consensus at this point in time for housing starts is at 740,000 units, and that's up 20%-plus over last year. But I think more important than that is the fact that over the course of the last 6 months or so, that average metric has gone up 10,000 units per month. That kind of contrasts to last year at this point in time when it was going the other direction at pretty much the same magnitude. So we see that as a plus. Housing inventories are low in general and very low in certain areas, and demand seems to be increasing, including from investors. Affordability remains attractive, and home prices appear to be stabilizing. In addition to those encouraging signs, we're also encouraged that we got off to a good start in 2012 as it relates to a couple of areas. And importantly, our Cabinet and Installation businesses, we've seen some meaningful improvement in the first quarter, and as John mentioned and I mentioned earlier, we feel like we're on track to drive the improvement that we communicated earlier this year. We're also encouraged that price/commodity relationships have improved. We're still behind the curve. After the last couple of years, I think all of the investors know that have followed us that we've been a little bit behind the 8 ball, but getting to a positive relationship in the first quarter is certainly pleasing. And as John mentioned, we certainly expect that over the course of this year, we'll at least be able to neutralize price/commodity impact on our operations. A lot of good work going on in the cost structure. Operating leverage is one of the strong points of our enterprise, and the 44% margin that we generated in the first quarter certainly is pleasing. We understand that one quarter does not make a full year. We've got a long way to go, a lot of work to do against our objectives but certainly feel that as we continue to focus on our strategies, continue to focus on the priorities that we've identified, we'll -- in terms of strengthening our brands, improving our execution, reducing cost, that we’ll continue to drive value for our shareholders. And with that, Christie, we'll open up the lines for questions.
Operator: [Operator Instructions] Your first question comes from the line of Dennis McGill with Zelman & Associates.
Dennis McGill - Zelman & Associates, Research Division: One question on the Install business. Did you say that the guidance right now or the goal right now is to lessen the loss by $30 million?
Timothy Wadhams: Yes. That's what we communicated, Dennis, at the -- in the fourth quarter earnings call. We provided -- in fact, there's a slide in the Appendix, Slide #24. That is the same slide that we communicated back at the -- in the fourth quarter earnings call. And I believe that, that shows an improvement of about $30 million in addition to the $6 million that relates to the branch closure. So in essence, it's a $35 million -- or a $36 million improvement versus the prior year, and we obviously got about $19 million of that in the first quarter. And I think as John mentioned, we think we'll do at least this well as we work our way through the rest of the year.
Dennis McGill - Zelman & Associates, Research Division: Well I guess, Tim, why not update that, realizing you're halfway there and you're seeing the acceleration in volumes? And there's obviously some lag there, so you would expect that to continue through the year. What's the hesitancy with updating that now?
Timothy Wadhams: No real hesitancy, Dennis. I think what we decided to do on both Cabs and Installation is wait till we get through the second quarter and then provide a little bit more detail. But we certainly would anticipate, if we continue to see the same level of activity, the same conversion that we saw in the first quarter, that we'll be able to improve on the Installation number for sure as we work our way through the rest of the year.
Dennis McGill - Zelman & Associates, Research Division: Okay. And then I guess separately, can you maybe go into a little bit more detail on volumes and what you're seeing within your European business, both by product category and then maybe by your major regions there?
Timothy Wadhams: Yes. Volumes as it relates to Europe?
Dennis McGill - Zelman & Associates, Research Division: Yes.
Timothy Wadhams: Yes, we had a good first quarter. As John mentioned, we were up 5% in local currencies. Most of that was driven by Hansgrohe, which had a record March in terms of top line. So they continue to do very well. A lot of that, as you know, is emerging markets as well as project work related to some international opportunities. So they continue to make good progress. The United Kingdom continues to be relatively flat for us, Dennis. We look at our Cabinet business and our Plumbing business. Plumbing was -- I think both those were slightly down in the quarter. Our window business was up a little bit, so I think if you put all that together, we were probably flat. Certainly don't see any significant improvement in terms of the macro outlook for the U.K., but feel like our businesses, particularly the window business -- we've talked about that in the past -- continues to take share and has some nice growth opportunities, including a couple of things they're looking at from a retail perspective that aren't fully developed yet but will be a little later on, and we'll be able to talk about those. Our Danish business saw a little bit of top line improvement but not real dramatic in terms of that particular business. Still have a lot of challenge there in terms of input cost with particle board, but feel like we're getting a little bit of traction. We're doing some things from a sales representation standpoint, sales staff standpoint that should give us some better opportunity for penetration going forward. And in addition to that, our tub shower surround business, Hoopa [ph], had an okay month -- okay quarter. But I would say that things look like they're slowing down a little bit as we think about some of the challenges in Europe. So I would say that as we look ahead, we're still cautious relative to Europe. I think that we're in a good position with Hansgrohe because of their diversification, but the economies, generally speaking, I think on the continent, as everyone knows, I think look like they're going to be a little bit slower than last year.
Dennis McGill - Zelman & Associates, Research Division: And just to wrap up on that, is Hansgrohe growing in developed countries in Europe?
Timothy Wadhams: Yes, they are. Go ahead, John.
John G. Sznewajs: Yes. It is, Dennis. If they kind of break out their sales, I think they’re doing fairly well in the stronger economies. So Central Europe, places like Germany, Austria and Switzerland are doing just fine. Northern Europe, Scandinavia is going okay for them. They are experiencing some softness, particularly in Southern Europe, at this point in time. They're also experiencing some -- actually, some pretty good growth in Eastern Europe. Whether it's Russia, Poland, Czech Republic, they're doing quite well over there. So pretty good broad mix of strength across most of the regions of Europe, except, of course, the southern tier of countries.
Timothy Wadhams: And remember, Dennis, we do have some mix-related challenges with that business. We've talked about that in the past as we continue to penetrate international markets, that's typically at a lower price point. And we've also seen with some of our existing business, given some of the economic challenges that exist, a little bit of a trade down as well.
Operator: Your next audio question comes from the line of Peter Lisnic with Robert W. Baird.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: First question, I guess. Can you maybe give us a little feel for what April's look like across the business, particularly in Paint? And maybe if we could strip out some of the favorable weather, that'd be great.
Timothy Wadhams: Yes. Tough to strip out weather, Dennis. That's for sure. Although in our area of the world, April is -- has been a little bit more like March, traditionally has been not real good from a weather prospective. We came out of March -- we were up mid-single digits in terms of March. And it looks like April -- we don't have the numbers in at this point in time, but it looks like April in North America will be up at least low single digits. At this point in time and kind of back to Dennis' question, it looks like Europe is going to be down a little bit in April. But our sense is...
John G. Sznewajs: Excuse me, Tim. I think, actually, April in Europe was flat in local currency.
Timothy Wadhams: Yes. In local currency, it's flat, but I think we've got some foreign currency translation that's impacting us. So from a local currency standpoint, Europe looks like it will be flat but down a little bit because of currency. So at that -- at this point, Peter, from our perspective, our sense is that there's probably a little bit of inventory balancing going on in April with some of our customers. Our POS has been relatively strong in April, so we're encouraged by that. But at this point, it looks like up in North America, I'd say mid-single digits -- or low single digits, excuse me.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay. That's helpful. And then just on the -- Tim, you mentioned the productivity improvement, I guess, or the cost saves running at -- or targeted at $150 million. You got over $40 million in the first quarter. But if I look at that waterfall chart on operating income, there's only a $14 million benefit that I see there. What were the offsets? Or am I not reading that chart correctly?
Timothy Wadhams: No, you're reading it correct, Peter. The $40 million is a gross number. And as we've mentioned in the past, typically, we have inflation that is offset against that. We could have growth initiative spend, for example, in a couple of different segments. So what we try to do is net that down to the amount that ultimately drops to the bottom line. But in the first quarter, we had obviously some offsets to that. And I think that if you go back and look at last year, we were probably neutral, as I recall. Even though we did generate about $140 million to $145 million of gross cost reductions or profit improvements, we ended up the year in effectively kind of a neutral situation again, given some of the growth initiative spend that we had last year.
Operator: Your next audio question comes from the line of Mike Wood with Macquarie Capital.
Mike Wood - Macquarie Research: In the Paint segment, are you planning additional price increases to offset the higher TiO2 that you'd mentioned?
Timothy Wadhams: Well, yes. Just to give -- roll the tape back a little bit, Mike, we did announce in our fourth quarter earnings call that we were in the process of implementing price increases related to Paint. That started early February and was completed in early April. So we did implement, across all of our products, price increases at that point in time. Now that took into account, as we mentioned, what was currently reflected in some of the cost inputs that we were addressing.
Mike Wood - Macquarie Research: Okay. And the -- you provided the point-of-sale detail for April. Can you give it to us for the first quarter to give us a sense of whether or not there was actually restocking in the quarter or if you can give us any color on where inventory levels stand?
Timothy Wadhams: Yes. POS, I think, was pretty solid in the first quarter, Mike. Our sense is that we were up pretty strong in Plumbing, for example, in trade. There could have been a little bit of inventory build there, but we did have some load-in as it relates to Paint. We talked about that with the 3 new product launches, but it would be kind of difficult for me to comment on that. I don't think that there was an excessive amount of inventory build that would have helped our product. There could have been a little bit in a couple of different channels but not anything that would have significantly moved the needle.
Operator: Your next audio question comes from the line of Michael Rehaut with JPMorgan.
Michael Rehaut - JP Morgan Chase & Co, Research Division: First question. I was hoping to get a little better granularity with the $40 million and the $150 million, which you -- and the detail is very, very helpful. We appreciate it and, of course, always ask for more detail as a result. But the -- just trying to understand kind of the math in terms of what falls to the bottom line. If you could go through what the $40 million going down to $14 million on the quarter, what were the offsets there? And on the full year, maybe just to extrapolate what you might think would also kind of ultimately flow through.
Timothy Wadhams: I wouldn't necessarily, Mike, want to give a full year estimate at this point. That can be affected by a lot of different things. But basically, as John mentioned, most of the drop to the bottom line was in the Cabinet- and Installation-related segments. And both of those were pretty healthy in terms of the gross amount, Cabs around $10 million, Install just a little bit below that. We also had a pretty significant number in Plumbing, around $15 million in the quarter. And most of that was offset by inflation and about $5 million of growth initiative spend related to our International business, some expansion we're doing in Western Canada with a tub manufacturer, one of our tub manufacturers. So that offset that for the most part. We also had cost savings in the other 3 segments -- or the other 2 segments, excuse me, Decorative Arch and Other. Other contributed to the profit turnaround that John talked about as well. As we look at a full year -- on a full year basis, on a gross basis, we would look for Cabs and Plumbing to be somewhere around $40 million to $45 million; Installation, around $25 million to $30 million; Decorative Arch, somewhere in the $10 million to $15 million range; and Other, around $20 million to $25 million, which gets us pretty close to that $150 million. And again, that's a gross number, but the way we look at that, we look at that as providing currency to help us fund some of the growth initiatives that we're pursuing as well as offset inflationary impacts that range from everything from healthcare to just normal inflation that's outside of the commodity area. We try to provide the investment community with price/commodity relationship information that is outside of the profit improvement offset, if you will.
Michael Rehaut - JP Morgan Chase & Co, Research Division: Great. I appreciate it. Second question on Decorative. You had a great top line, but it didn't come through on the bottom line given the, still, lag on the price increase that you've noted set to go -- was set to go through early this second quarter. But now with the higher TiO2 prices flowing through on top of that, could you give us a sense of, if second quarter, third quarter, do you expect the price increases to get you back where you can match a year ago in terms of the margins or even exceed that? And how do you think about where you are from a bigger picture? Well, let me ask you -- I'll just let you answer this first, and then I'll just finish off on the question.
Timothy Wadhams: Yes. The question basically is in terms of TiO2 going forward. There has been an announced industry cost increase of $0.10 a pound that is supposed to be effective on April 1, and that would not have been included in our pricing discussion that we mentioned earlier relative to what we started to implement in early February and completed in early April. So we'll have to work either in terms of working on productivity, working with our suppliers or in terms of prices to offset that. Having said that, your question was, generally, do we anticipate that our pricing puts us in a position to accomplish or achieve the same margin level that we had last year. And at this point, we would anticipate having some additional pressure in terms of commodity-related costs. As I mentioned, we've got to do some work to offset what happened in April. Having said that, one of the things I think, Mike, that we should benefit from are increased volumes as we look at the second and third quarter. And my sense would be that we'll get a volume lift if things continue to move in the direction that they've been moving. And obviously, we've got pretty good incremental margins there, so that should help us. I'd rather not get into trying to predict margins going forward. We did say at the beginning of the year, in that fourth quarter earnings call that we expected a little bit of pressure in terms of commodities on margin in Paint. Our sense is that we'll get a little bit of lift in terms of volume as we continue to work through the year that will help offset that. But I'd rather not get into trying to predict what those margins might be at this point in time.
Michael Rehaut - JP Morgan Chase & Co, Research Division: Okay. Just the second part of that was just bigger picture or longer term, when you look at Decorative Architectural, 2011 x charges is around 17% margin. This year, it might be a little bit less, depending on what you can do in terms of the incremental inflation. When you look at sort of the great years of '06 to 2010 when you were in that low 20s, generally low 20s type range, is that something that you can think you can get back to? Or given the fact that over the last couple of years, there's been more product innovation pressure, people matching -- certainly, that's kind of an ongoing exercise, but do you see impediments to getting back to that low 20s type of profitability? Or are we in more of this mid- to high-teens range for the near to medium term?
Timothy Wadhams: Yes. I think -- yes, good question, Mike. I think that we got a similar question when he we had our fourth quarter earnings call. And what we mentioned there is that as we continue to grow the business and grow the business through the Pro paint initiative, grow the business through opportunities that might be -- that we're developing and looking at internationally, that we probably would see some negative impact, if you will, on margin. So getting back to the levels that you cited, given that we're diversifying our product offerings, diversifying the markets that we go after, really trying to focus on growth -- and again, growth is very important to our channel partner, The Home Depot, as well -- that there probably will be a little bit of pressure on margin as we go after those different categories. So I would see us probably not getting back to those kind of levels. But having said that, I would expect that we would generate a nice return on assets. We've got a very efficient operation. And to the extent that we can grow our business, generate absolute growth in operating profit and manage our asset base and do that with a positive return, a return in excess of our cost of capital, which we feel very comfortable that we can do, we'll continue to create value that way.
Operator: Your next audio question comes from the line of Dan Oppenheim with Crédit Suisse.
Daniel Oppenheim - Crédit Suisse AG, Research Division: I was wondering if you can talk about the Cabinet business, still, obviously, going to be more late cycle. A very competitive environment out there. What would you need to see in terms of just -- are you willing to step away from business at this point? What do you think we need to see in terms of Cabinets overall to see a slightly more margin-friendly environment?
Timothy Wadhams: Well, certainly, Dan, in terms of margin, a little bit more on the macro side from a top line standpoint. We continue to see a lot of reluctance for folks to want to take on a major remodeling job. And a kitchen or a bathroom is certainly a big ticket, and that still is very slow. As job growth continues, as confidence picks up, that dynamic I would anticipate would change over time. The environment is still very competitive. I mean, there's no question about that. One of the dynamics for us is that we were promoting in January, sort of turned that off the latter part of February and saw some decline, especially in the dealer channel and a little bit of a fallback on -- in the big box channel for March. And so from our standpoint, there still is a lot of emphasis on promotions. We will ramp that back up, and we will be judicious as to where we put those dollars. Certainly, from a return standpoint, we're not going to chase every bit of business, but we do think that this year, notwithstanding the fact that we were hopeful earlier that it would be a little bit more disciplined from a promotional standpoint, looks like it's going to be a period that -- where active promotions are going to be important for folks to continue. We tend to see ourselves or have seen ourselves over the last several quarters, if you will, at those periods when we're heavily promoting, we tend do better. And when we pull back a little bit, things tend to go in a different direction. So we'll be as thoughtful as we can as we manage our way through that, but it's still going to be pretty competitive situation, particularly as consumers, although they're looking a little bit more, as we understand it, are still somewhat hesitant to want to pull the trigger on a bigger ticket remodel opportunity.
Daniel Oppenheim - Crédit Suisse AG, Research Division: Great. And second question, I was just wondering -- thinking about sort of the investment of the business, CapEx ticking up slightly this year. What do you -- as we see the overall housing environment improve over time, what do you -- how much capacity do you think you have there? How much will CapEx move higher over the next several years?
John G. Sznewajs: Yes. CapEx, Dan, we generally guide people to focus on about 2% of sales as an appropriate number. It may tick up -- we’re showing you a tick up from -- in 2012 versus 2011 of about $20 million or so. That said, we spent only $25 million in the first quarter, which is actually down a little bit compared to the first quarter of last year. In terms of your question as it relates to capacity, we’re in a great position from a capacity standpoint. As the markets come back, we don't see any need for any significant bricks and mortar until we get back to a fairly robust recovery, that being 1 million, 1.5 million housing starts in a commensurate return in the repair/remodel end of our business. So we feel like we're in really good shape from a capacity standpoint here.
Timothy Wadhams: Yes, I think that's very true, Dan. As you look at our business, we added a lot of brick and mortar back in the early 2000s. We've got some idle facilities as it relates to Cabinets that we can bring back on. The only area that I would maybe modify a little bit in terms of John's comment is that from a brick-and-mortar standpoint, we have made some expenditures to support Hansgrohe in both Germany and China and again, given their significant growth. But John is exactly right. We don't anticipate a need for a lot of brick and mortar as we work our way back into more healthy top line demand.
Operator: Your next audio question comes from the line of Keith Hughes with SunTrust.
Keith B. Hughes - SunTrust Robinson Humphrey, Inc., Research Division: Two questions. Within Cabinets, we've been rolling through some of the products that you got out of, I think, specifically, in the big box. Are we now through that? And do you anticipate any more actions like that in the future?
John G. Sznewajs: We're just about through that, Keith. It'll be $1 million or so, $2 million of RTA sales in Q2 that we’ll have to anniversary in Q2 of this year. But beyond that, then we'd be done with that aspect of it. In terms of your second half of your question, is there anything else that we're looking at along those lines, the answer to that is no.
Keith B. Hughes - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then just quickly on the Installation segment. There's been yet more attempts here of price increases from the Installation producers for the second quarter. What is your view of those? Do you plan to pass those along into the channel?
Timothy Wadhams: Yes. We have always been able to manage our way through that, Keith, generally by passing those costs into the channel and/or offsetting them with productivity or other means, working with our suppliers. But if you go back over the course of the last several quarters, we've had pretty good success on -- in our ability to pass those on and generally on a fairly timely basis.
Operator: Your next audio question comes from the line of Joshua Pollard with Goldman Sachs.
Joshua Pollard - Goldman Sachs Group Inc., Research Division: Excellent. My question is about the overall business and the pattern of growth over the year. If I’ve got all my numbers right, it looks like January was up mid-single, low double for February, mid-singles for March and now -- and North America looking like low single digits. What's going on in the business that's causing that level of volatility? Or do you see any get-back from weather? Are you seeing a slowdown in any of the core pieces of your business? I'm really just trying to understand the slowdown in growth rates from January through to April.
Timothy Wadhams: Well, I think the -- I wouldn't necessarily put too much stock on the individual months, Josh. I think that if you went back to last year, our January and February were pretty weak in terms of 2011. And so we did have some -- a pretty good bump this year, but I think the dynamics in terms of housing really drove that. We've had an increase in terms of housing-related activity on the build side, and there's also been a little bit of a pickup in repair/remodel-related activity. A lot of that has been driven by the weather. For example, our comps in exterior Paint were very, very strong in the first quarter, again, we think, driven in large part by the weather. So I think the weather helped us a little bit. I think that, as I mentioned, as we look at April, we're not overly concerned. Our POS continues to be very strong in April. As I said, it's very possible that some of our customers may be balancing inventories in that month, but don't necessarily see anything that is of concern at this point. We talked a little bit about Europe. Obviously, as we -- as John mentioned, our sense is right now -- and again, we don't have the numbers in, but our sense is that Europe looks like, on a local currency -- from a local currency standpoint, it'll be flat with a little bit of negative impact in terms of translation, but would not necessarily see anything that's concerning. As I mentioned, POS is strong, and Paint has been strong and Plumbing in April. So we're tending to look forward a little bit more optimistically than we might have been 3, 4 months ago.
Joshua Pollard - Goldman Sachs Group Inc., Research Division: Understood. Do you mind giving some of the numbers, actually, for some of the things you mentioned? I'd love to know what the POS is on April, and I'd also love to know what your comps were in exterior Paint versus interior.
Timothy Wadhams: I'm not sure that our channel partner would want us to give that level of detail out, Josh, in terms of those comparative numbers. And I think that's something that we would probably want to avoid.
Joshua Pollard - Goldman Sachs Group Inc., Research Division: Okay. Understood. If you don't mind me sneaking one more in. Fortune Brands mentioned that they were a loser on the Lowe's line review in faucets but a winner in cabinets. I'm wondering whether or not Masco was on the other side of both of those. Have you guys won some business? Or maybe if you could just characterize your winnings and losings in the Lowe's line review. I know you guys were a part of the advisory board there.
Timothy Wadhams: Yes. To date, Josh, I think we've had 4 line reviews, and we lost one. That was a source-and-sell utility tub that wasn't overly profitable. And it was a very small piece of business, I think less than $20 million on an annual basis. So that was the only issue that we've had. The other 3, we were successful. So we've come out okay in terms of that process. Obviously, there still are some ongoing line reviews that will take place over the course of the rest of the year. But we tend to feel that if you're coming in there with strong brands, with good product offerings, good merchandising displays, the kinds of things that we put a lot of emphasis on, that you should do okay. And we think the better suppliers will continue to do well in terms of that dynamic.
Joshua Pollard - Goldman Sachs Group Inc., Research Division: Okay. And I'll just ask one more.
Timothy Wadhams: Josh, I think -- yes, we need to move on, but thank you. We'll talk to you a little later on.
Operator: Your next audio question comes from the line of Sam Darkatsh with Raymond James.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: One question regarding Cabinets and then just a housekeeping, a modeling question. So if we back out the expected change in depreciation and amortization in Cabinets on a year-on-year basis, which if my math holds, is I guess about $25 million, $30 million -- I'm looking at the expected incremental margins from there. And at least, on Slide 23, I think it looks like you're looking at that 30% to 35% range, excluding the change in depreciation. Should that be what we assume? Or because of input inflation, diesel fuel costs, promotional environment, that the actual realized incremental margins might be lower than that this year?
Timothy Wadhams: I think, Sam, the question is do we feel like the $30 million and the $10 million -- that basically is about 33% incremental margin. Your question is, do we still feel comfortable with that incremental margin?
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: Well, you have $30 million in revenue opportunities with a $10 million incremental operating profit on that. That would be, call it, 30% to 35% incremental margin. The $30 million, if my math holds, I think is largely just a change in the D&A on a year-on-year basis because of the structural improvements you've made. So when I...
Timothy Wadhams: No. No, the -- that is not a -- the change in D&A, Sam. That would have been backed out. The change in D&A was mostly driven by rationalization charges. So when we adjust our numbers for the 2 quarters, that tends to go away. And this $30 million here would be all profit improvement initiatives that we've got good line of sight to and talked about in the fourth quarter earnings call. So that is not the elimination of that accelerated depreciation that took place last year. And no, we do feel very comfortable. Our contribution margins in that segment in North America on volume in the first quarter were right around that 33% to 35% level. So we believe we can maintain that going forward.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: Gotcha. And then just a couple of modeling questions real quickly. The $7 million in the favorable hedge impact, do you have an estimate as to how that translates the rest of the year? And then also, on the general corporate expense, John, I think it came in below the average run rate for the year, the $140 million over the course of the year. So was does the cadence look like for GCE over the next few quarters? Is it level? Or does it ramp as the year progresses?
John G. Sznewajs: Yes. Sam, in terms of your first question as it relates to the metals hedge, we're not giving guidance as to our metals positions at this point and what we think we’ll benefit from -- part of it's hard to predict just given the volatility in the copper and zinc market. So we don't try to go out too far on a limb on that one. In terms of general corporate expense, yes, we did have a favorable quarter in Q1 compared to both our guidance. One of the things I think we called out in the fourth quarter call was that we kind of load up general corporate expense at the beginning of the year and, over the course of time, kind of re-guide the community as we understand how our experience comes in. You may recall that we had some favorable activity last year in 2011 as it relates to insurance experience, unfortunately, for several people, negative incentive comp, that kind of stuff. So as we go for full -- as we look at 2012, we fully go back to standards on things like that. And so as we understand what our experiences may be over the course of 2012, we'll give updated guidance on that component.
Timothy Wadhams: Yes. Sam, that's one of the areas that has been with us for -- and you guys have tended to drill in there a little bit, and I think John's comment is right on point. We tend to normalize certain of the accruals at the beginning of the year for a variety of things like profit sharing, incentive comp, medical. To the extent that we do a little better than that over the course of the year, we adjust that up and down but tend to start fairly conservative.
Operator: Your next question comes from the line of Eric Bosshard with Cleveland Research.
Eric Bosshard - Cleveland Research Company: A clarification on a question. Just in terms of clarification, can you -- to sort of help not have any confusion. In terms of POS, did April POS slow materially from 1Q POS?
Timothy Wadhams: No. I do not have that impression, Eric. And again, we haven't gotten into the depth of April at this point in time, but the impression that we have is that it has stayed relatively strong. And again, we'll have more information as we work our way through the quarter, through the -- our financial reviews and that type of thing. And the numbers aren't in yet, and we haven't seen all the data. But based on what we've heard from our folks in the field and their discussions with customers, our sense is that it has stayed relatively strong.
Eric Bosshard - Cleveland Research Company: Great. And then in the packet, I think you commented that sequentially, Paint margins improved in 1Q versus 4Q. In Install, I think Install lost more in 1Q versus 4Q. So within Install, can you give a little bit of color of what's going on with pricing in that business and how you feel about the sort of profitability opportunity in that segment?
John G. Sznewajs: Yes. Sequentially, Eric, I think that a couple of things drove that. One is we had some favorable experience in the fourth quarter of last year in things like insurance. That kind of flipped on us in the first quarter too, kind of the same comments on our general corporate expense. When you start off the year, you've got higher -- things like payroll-related taxes and things like that that you have to account for. So that drives the negative comp there on a sequential basis.
Timothy Wadhams: Yes. I think in terms of pricing, Eric, in that business, I think that we are certainly competitive. We have done a lot of things to provide some additional training to our salespeople. We've got some pretty neat programs on lead generation and that type of thing. So from that standpoint, as we think about that business, think about what it's been through, think about the full implementation of the ERP system last year and midyear, we're starting to see some benefits from that. We're starting to see some benefits from the relationship with Owens Corning in terms of supply chain. So our feeling is that if anything, we're as competitive as we've ever been in that channel at this point in time and certainly feel like we've got an excellent opportunity, particularly as it relates to some of the bigger builders. We've got some great relationships there, and the expectation is as the recovery continues that they'll continue to take share. Okay. Thanks, Eric. And Christie, that finalizes our comments. And we appreciate everybody taking part, and we’ll look forward to talking to you at the end of our second quarter. Thank you.
Operator: Ladies and gentlemen, this does conclude today's Masco Corporation First Quarter 2012 Conference Call. Thank you for your participation. You may disconnect at this time.